Operator: Good day, everyone. Welcome to the Aemetis, Inc. First Quarter 2025 Earnings Review Conference Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. If anyone should require operator assistance during the conference, as a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Todd Waltz, the Executive Vice President and Chief Financial Officer of Aemetis, Inc. Mr. Waltz, you may begin.
Todd Waltz: And welcome, everyone. Before we begin, I'd like to remind everyone that during this call, we will be making forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are based on our current expectations and beliefs and involve risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. These risks and uncertainties include, but are not limited to, those factors discussed in our earnings release issued today and in our most recent Form 10-K filing with the Securities and Exchange Commission under the caption "Risk Factors" and "Management Discussion and Analysis of Financial Condition and Results of Operation," as well as in our other filings with the SEC. We undertake no obligation to publicly update any forward-looking statements, whether as a result of new information, future developments, or otherwise, except as required by law. Please refer to our earnings release and our SEC filings for a more detailed discussion of the risks and uncertainties. Full financial details can be found in our Q1 2025 earnings release and Form 10-Q available on the Aemetis website and EDGAR. I'll briefly highlight the key items. Revenues were $42.9 million, down from $72.6 million last year, primarily due to delayed biodiesel contracts in India. That business resumed shipments in April, and we expect revenue to rebound meaningfully in Q2. The Keyes ethanol plant saw a revenue lift of $1.7 million due to stronger ethanol pricing, and RNG volumes were up 17% year over year. Operating loss was $15.6 million, reflecting a $1.6 million increase in SG&A, mostly legal and transaction costs related to the $19 million of cash we received from selling investment tax credits. That cost will not recur at the same level going forward. Interest expense rose to $13.7 million in line with our capital structure and investment base. We reported a net loss of $24.5 million, roughly flat versus Q1 last year. Cash at the end of the quarter was $500,000 following $15.4 million of debt repayment and $1.8 million of investment into carbon intensity and dairy RNG expansion. As Eric will describe shortly, we expect multiple revenue streams from India, LCFS credits, and federal tax incentives to ramp up as the year progresses, positioning us for a stronger back half of 2025. Now I'll turn it over to Eric McAfee, our Chairman and CEO.
Eric McAfee: Thanks, Todd. Let me start with an update on our three core businesses: Dairy RNG, California ethanol, and India biofuels. In our dairy RNG business, we're scaling gas production quickly. We expect to reach 550,000 MMBtus of production capacity this year and grow to 1,000,000 MMBtu annually by the end of 2026. We're now operating or building at 18 dairies backed by $50 million of USDA guaranteed financing. Seven of our dairy pathways have completed third-party verification and are in final review at CARB, with approvals expected this quarter, unlocking meaningful LCFS revenue starting in Q3. At our ethanol plant, we've begun off-site construction of the $30 million mechanical vapor recompression system. This project is expected to reduce natural gas use by 80% and add an estimated $32 million in annual cash flow starting in 2026. We've already secured $20 million in grants and tax credits to help fund the system. Ethanol pricing has strengthened since earlier this year, and the recent EPA approval of summer E15 blending provides tailwinds for margin expansion. In India, we resumed biodiesel deliveries to government oil marketing companies in April, following a six-month pause in OMC purchasing. New OMC tenders have been issued, and the business remains EBITDA positive and self-funding. We're preparing for an IPO of our India subsidiary, targeting late 2025 or early 2026, and evaluating expansion into RNG and ethanol production in that market. Looking at future projects, sustainable aviation fuel, we've received air permits and other permits for our 90 million gallon per year SAF and renewable diesel facility at the Riverbank site. When operated solely for SAF, capacity will be approximately 78 million gallons per year. We are in active discussions on financing structures and are awaiting further clarity on the 45Q tax credit and state-level SAF mandates to support project financing. In carbon capture, at our Riverbank site, we've completed initial drilling and pipe installation for our CO2 characterization well. The data we obtained from the next phase of drilling will support our Class VI sequestration permit application. Once permitted, the site is expected to sequester up to 1.4 million tons of CO2 annually. Regulatory tailwinds support a strong growth outlook. Aemetis is positioned to benefit from a range of federal and state policies that directly enhance the value of our low-carbon fuel operations. The California Low Carbon Fuel Standard amendments adopted by CARB to establish a 20-year framework for reducing transportation fuel emissions are expected to become effective within the next few months. Credit prices are expected to rise significantly as credit supply tightens and credit demand increases. Once provisional LCFS pathways are approved, Aemetis Biogas could generate over $60 million annually from LCFS credits alone. Federal Renewable Fuel Standard: The sale of renewable natural gas qualifies for D3 RINs, adding $28 to $40 per MMBtu in value. When combined with LCFS credits, this represents up to $100 million in potential revenue from RNG in 2026. Section 45Z production tax credit: Effective 01/01/2025, this new federal incentive supports low-emission ethanol and RNG production. Aemetis is currently applying treasury guidance to calculate and market these credits with additional clarification expected later this year. Section 48 investment tax credits: Aemetis received $19 million in cash proceeds in Q1 2025 from the sale of solar and biogas-related investment tax credits. The company expects additional sales of both investment and production tax credits in 2025. E15 ethanol blend expansion: The EPA has approved summer use of E15, a 15% blend of ethanol, in 49 states, and new legislation is advancing to allow year-round use, including in California. This would expand the US ethanol market by more than 600 million gallons annually and lower fuel prices for consumers. In California, Governor Newsom has directed CARB to expedite the process for allowing the sale of E15 gasoline in the state, and the state legislature is currently considering conforming legislation. Today, California is the only US state that does not allow the sale of E15 gasoline. Implementing E15 in California will increase domestic US demand for ethanol by over 600 million gallons annually. These aligned policy developments are expected to significantly strengthen Aemetis' revenue, cash flow, and project economics across its renewable natural gas, ethanol, carbon capture, and SAF segments. Looking ahead to full-year 2025, we expect a significant ramp in RNG revenues starting in Q3, driven by LCFS pathway approvals and volume growth. India revenues are recovering with resumed biodiesel shipments. Ethanol margins will be supported by policy tailwinds in the near term and by the significant reduction in costs and increases in revenue planned from our MVR project beginning in 2026. We are monetizing tax credits and advancing development stage projects, including SAF and carbon capture. Aemetis is positioned for growth and improved cash flow in the second half of the year and continuing through 2026. Now let's take questions from our call participants. Operator? Thanks.
Operator: Thank you, Mr. McAfee. We will now be conducting a question and answer session. If you would like to ask a question, please press 1 on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press 2 if you would like to remove your question from the queue. One moment, please, while we poll for any questions. Your first question is coming from Sumayya Jain with UBS. Please pose your question. Your line is live. Sumayya, your line is live.
Sumayya Jain: Oh, sorry. Hi. Was wondering how are you guys looking at the impact of tariffs on RNG production for 2025 and 2026? And how that's also playing out on the SAF side of things.
Eric McAfee: Well, our RNG value chain is almost entirely domestic. Our feedstock is produced by dairies in California, our operating costs are primarily electricity we get from our local supply chain, which is actually hydroelectric in California. And our customers are all California trucking companies and fueling stations. So the actual direct business is all domestic. We do have construction, and we, so far, have qualified for domestic content on all of our capital equipment investments. And so we are largely domestic in our supply chain for investments. So RNG is a very domestic business. I would anticipate no direct impact. Sustainable aviation fuel, as an operating activity, is anticipated to use domestic feedstocks and sell to airlines in California. Our contracts all have delivery into San Francisco Airport, and we'd be shipping using our renewable natural gas trucks, which are again, California located. I think the investment in the capital construction may have some indirect impacts from tariffs. These tariff burdens have been changing daily. So by the time I think we're actually doing these purchases, I think we'll have a substantially different picture of what the tariff impact is. It'll primarily just be on the one-time purchase of capital equipment if we do any offshore work.
Sumayya Jain: Okay. Great. And then how are you guys, I guess, what is driving the improvement in the balance sheet that you're forecasting? Or, like, how's the debt outlook for 2025?
Eric McAfee: Well, we paid off $15.5 million of debt in the first quarter of this year, and we anticipate we will continue to be doing that through the next three quarters of the year. That is primarily from the benefits of the investments we're making. We get investment tax credits from those investments. And then secondly, we are anticipating both the low carbon fuel standard, seven dairy pathways to be approved and the 20-year mandate that's under the LCFS amendment to be adopted sometime over the next couple quarters. Both of those together substantially increase our LCFS revenues, and substantially as in a 20% for seven dairies just in terms of number of LCFS credits. And if those credits go up, anywhere from 20 to 50%, of course, that's compounded against the 20%. So dramatic increase. And then the third element there is additional dairies coming online. We have four dairies slated to come online this early this summer. And that, of course, is additional revenue. We also have an India IPO we're actively working on. And that will put a lot of cash on the balance sheet, as well as put us in position to reduce debt. And then the last point is actually probably the most important point. And that is starting January 2025, the 45Z production tax credit, not investment tax credit, but production tax credit started, and we are currently working on marketing our first round of production tax credits. This is revenue for both our ethanol business as well as our biogas business. And we'll significantly increase our ability to pay down debt during 2025 and 2026 as we ramp.
Sumayya Jain: Got it. Thank you.
Eric McAfee: Thank you, Sumayya.
Operator: Your next question is coming from Matthew Blair with TPH.
Matthew Blair: Great. Thank you very much. I had a question on the dairy RNG OpEx. It looks like OpEx per MMBtu has been trending in the $29 to $30 per MMBtu range the past few quarters. Is that a good long-term target? Or do you expect that to come down when you have the new dairies up and running? And if so, what's a good long-term target for dairy RNG OpEx?
Eric McAfee: Our initial OpEx as a percentage of production has been inhibited because we've been in the startup phases of the dairies we bring online. And so our operating cost includes actually digesters that aren't generating any MMBtus at all yet. So I think we're going to be seeing a dramatic decrease in OpEx per MMBtu as MMBtus increase. The factor there, by the way, is we're in the winter. In the winter, our production is significantly less because it's colder and microbes just don't produce as much RNG. So just a natural function of seasonality would cut that almost in half just because you're doubling your MMBtus without doubling your staff. And I would remark that we have built out a strong team that operates our own digesters. And we do very little outside contracting related to operations. And so our team is scaling up not just the 16 digesters we're scheduled to have by the end of this quarter, but frankly, 50 digesters. So you'll see our OpEx is operating on the idea that we're scaling rapidly.
Matthew Blair: Sounds good. And then, Eric, you mentioned that ethanol margins are improving in the second quarter, and we are seeing better ethanol prices, cheaper corn costs. Do you think that your California ethanol segment is on track for an EBITDA positive quarter? Is that maybe a little too much to ask?
Eric McAfee: It's all about demand. The E15 approval happened last week. And ethanol is a national market, as you know. So with more ethanol being exported, we set a new March record for ethanol exports with 55 million gallons. And we expect E15 to increasingly be adopted because the EPA not only assured that this year we'd have the, not just the short waiver they provided, but all throughout the summer, we have the waiver. And they also stated they have every intention to get it approved. So next year, no waivers are required. So E15 is an underlying what I would call an incoming tide that's going to lift all boats. So the combination of seasonality where people just drive more during the summer and then E15 adoption is a generally positive trend. Our margins are based upon the delta between corn and ethanol, as you know. So, currently, the corn prospects are moderate, but not bullish. And ethanol margins, I would say, are more on the bullish side. So in general, I would think a strengthening trend, which we see almost every year, we'd expect to see again this year.
Matthew Blair: Great. Thanks for your comments.
Eric McAfee: Thank you, Matthew.
Operator: Your next question is coming from Sameer Joshi with H.C. Wainwright.
Sameer Joshi: Hey. Good afternoon, and good morning, Todd, Eric. Thanks for taking my questions. I think I heard you while describing the India business IPO later this year or early next year, but you also mentioned the potential of RNG and ethanol in that market. Can you please elaborate or give some color on that?
Eric McAfee: Yes. And I actually appreciate you bringing it up. Our current business in India is a dominant biodiesel facility. We have 80 million gallons a year. We sell the product for roughly $3 to $4 a gallon depending on markets, but usually, it's about $4 a gallon, including glycerin. So you take 80 million gallons times four, it's a $320 million revenue business in India that is well established. We did $112 million as of September in the trailing twelve months. And so it's plenty large to get that successful IPO done. But our parent company has extensive experience in ethanol. We're the largest ethanol producer in California, one of the largest in the Western United States, of course. And in biogas, which has been for us a very, very successful venture in terms of new market position and signing 50 dairies, etc. So in our India business, we are very proactively looking at renewable natural gas opportunities and, frankly, ethanol. Ethanol is a favorite of the India government. It's a domestic feedstock. It comes from either sugarcane or corn. They call it maize in India. But corn has a benefit of providing about 28% of the feedstock becomes an animal feed. That's the distillers' grain. That helps farmers. And so not only is corn grown by farmers, but then it feeds livestock in India. So it's sort of a double benefit to the farming community. And that has resulted in a lot of political power, and the consumption of ethanol hit 19.4% in 2024 in India. And they've set a new target of 30% over the next sixty months. So the ethanol business in India has also the benefit that the government sets a minimum price for corn, and then sets a minimum price for ethanol in order to provide new markets for corn in the country. And so we see the same opportunities in biogas. They set a threshold price on renewable natural gas that is very attractive. And so being in a strong position, we decided that diversification is something we have both the technical competence as well as the market position to be able to take full advantage of. And the timing of that is designed to help our IPO valuation. So we have specific projects we're reviewing right now. We expect over the next two quarters to announce what those projects are and to have a diversified IPO of a rapidly growing company in India with truly exciting prospects. And strongly supported by the India government because of the benefits to the agricultural sector in India.
Sameer Joshi: Yeah. No. Thanks for that color. It makes sense. Just to follow-up on India, there's trouble on the border there right now. Do you expect any, any, any just early days, maybe it will subside? But do you see any hiccups that could arise because of that development?
Eric McAfee: We're down on the East Coast and the Southern Part Of The East Coast, and Andhra Pradesh, so we're about as far from it as you can get without going swimming in the ocean. So, it has had no impact on us, including our, you know, our supply chain, our customer base. It's just that it had no impact at all. And I've watched the same news reports you have. The Indian government is working diligently to try to deescalate. This is a flare-up that I don't think either side needed or wanted. But, I don't expect it to last very long. And I do expect it to be resolved favorably for both parties by just saying don't shoot at each other. They're not going to become friends, but they're not going to see any benefit from a military skirmishing.
Sameer Joshi: Makes sense. In addition to the $31 million order from the biogas in India, do you expect another round before, like, say, in fall or something, or you don't see that happening?
Eric McAfee: The $31 million order is through the month of July. So our shipment started basically in April, but mostly it's May, June, and July. We are pressing, as the industry is, to not see a repeat of what happened to us in the fourth quarter of 2024 and the first quarter of 2025. And so the delay that occurred there, we're not looking to repeat. And I think the oil marketing companies and the government are now highly, certainly very aware, and I would even say sensitized, to the need to keep the orders flowing in order to not have this sort of an industry production gap that happened.
Sameer Joshi: Understood. Just one last question, and I know you talked about, in addition to in response to previous questions, about reducing debt. But the EB-5 and maybe now the gold card that Trump is proposing has proposed. Are there any opportunities where you can get cheaper debt from those sources?
Eric McAfee: Yes. And we announced last year that we are approved now for $200 million in EB-5 financing. Our net interest costs are less than 3% on those funds. And it's subordinated debt, so we can do senior debt on top of it. We are seeing a very active EB-5, and it's a combination of enforcement of immigration rules in a way that we haven't seen for a while. And so people here on their work visas and student visas are looking seriously about whether they want to stay for a while, and EB-5 is really the only program available to really assure them of not having a loss of immigration rights. And then secondly, interestingly enough, in India, the stock market has done very, very well. And so we're seeing many more Indian families that just have the financial capacity to have their kids go to school in the US or already are in school and already have family here. And so EB-5 is, I think, just more affordable than maybe perhaps four or five, six years ago. So that combination together has brought a number of very proactive investors to us, and we continue to work on closing our next round of EB-5 investors.
Sameer Joshi: Sounds good. Thanks, Eric, for taking my questions.
Eric McAfee: Thank you.
Operator: Your next question is coming from Derrick Whitfield with Texas Capital. Please pose your question. Your line is live.
Derrick Whitfield: Good morning, Eric and team, and thanks for taking my questions.
Eric McAfee: Hey, Derrick.
Derrick Whitfield: Eric, could you update us on the progress of 45Z as you understand it with respect to the timing of final rules from Treasury? Whether you're expecting a unique pathway for dairy or RNG?
Eric McAfee: The appointment of the head of tax policy at Treasury is pending. It could happen in the next couple of days. That will be Ken Keyes. I attended Ken Keyes' confirmation hearing approximately two weeks ago. And he is a well-known factor in Washington. And I believe that his response to the confirmation question from Senator Grassley was extremely important. Senator Grassley from Iowa, of course, has 42 ethanol plants in the state. And specifically asked, would Ken Keyes as the head of tax policy for Treasury not wait for new legislation, not wait for new regulation to be issued by Treasury, but instead take the existing law passed in 2022, the regulations issued in January 2025, and implement it, and the response in writing from Ken Keyes was, yes. I will do so. And what it was referring to was the provisional emissions rate, which for biogas is a very large number compared to the emissions rate that is a default in the GREET model. The emissions rates default was the Department of Energy and EPA calculating all the methane emissions from all the animals in the US divided by all the animals, so all the chickens and ducks and turkeys and everything else, were divided into the emissions. So the loser in that calculation, which for us ends up being about a negative 33 carbon intensity, is dairies. Dairies produce a lot more manure and then do an excellent job of capturing it and converting it to valuable vehicle fuel. So our carbon intensity in California under the California GREET is a negative 380, not a negative 33. So for us, our focus has been on getting the provisional emissions rate process to work. We have Ken joining the Treasury as early as next week, and his task is going to be to figure out how to get a PER process to work, which they promised in January. And we are certainly looking for that to be a short process. The benefit for us would be a significant increase in the value of our RNG molecule. Currently, we're about $14 an MMBtu. And we would expect a very significant increase in terms of a 5x plus multiple of that in terms of an approved provisional emissions rate.
Derrick Whitfield: Yeah. Eric, and just to put a bow on that, I mean, you guys will be looking at something north of $60 per MMBtu. It all depends on conversion, but just playing the math of the PER, it's your negative 380. It's a big number.
Eric McAfee: It is. And actually, there's three numbers. The third one's a dollar. The first one's a number of gallons. Second's the emission rate. Well, emissions rate times a dollar, we get that. They're currently calculating the number of gallons at 7.8 gallons per million British thermal units. Well, the same federal law, the same month we calculate our D3 RINs of the renewable fuel standard at 11.7. So strangely enough, two federal laws have two different number of gallons delivering into a truck. Same truck, same MMBtu, but instead of 11.7 gallons, which has been federal for twenty years, we're only getting 7.8 gallons. And you can imagine I've mentioned that to a number of senators and congressmen about that consistency needs to get rectified. And so, we're looking actually at 11.7 times our emissions factor times a dollar is what the actual calculation should be. I think it's going to have to be baby steps. We get the emissions rate correct, and then we'll probably have to get Treasury guidance to get the energy density corrected. But we can sell multiple rounds of tax credits on the same molecule. So we're not prohibited from selling at this current rate and then at a higher rate as they get their calculations to work.
Derrick Whitfield: Very helpful. And then with my follow-up, I wanted to lean in on ethanol fundamentals. While there are several variables at play with ethanol, do you have a view on ethanol and corn crush margins in an environment where E15 were adopted across 49 states?
Eric McAfee: Andy, you want to take that?
Andy Foster: Well, the waiver that was provided by the EPA certainly is positive. It's not new. As you know, they've provided the waiver previously. So I think it provides a level of certainty as we go into the summer. I think the thing to we're kind of keeping our eye on is being that one holdout state, California, being the only state in the US that's not allowed to sell E15 gasoline. The governor has made it clear that he wants CARB to expedite the process. The legislature seems very open, really more so than we've ever seen before. There seems to be a good deal of support with that. And, you know, adding E15 in California would be a huge boost to all US ethanol producers, but certainly us in California would be a real benefit. So I think, you know, corn futures have come down quite a lot this week, which is, you know, not good for producers, but good for buyers, us. Ethanol has remained relatively stable, you know, trading in about a 6 to 8¢ band for the last call it, forty-five days. Typically, that does strengthen as we get into the summer. And I think the other thing that we've noticed in the last couple of weeks is there's been a drawdown in inventory, which is necessary and has been good. We still have a fair amount of inventory nationally that we need to chew through. But as you know, Derrick, ethanol exports are well on pace this year to be smashing the record. So yeah, those combinations together, and I think the near-term outlook is, you know, is better. And then for us, you know, getting our MVR system installed, you know, speaking just about Aemetis and not the ethanol industry as a whole, will have a dramatic impact on our carbon intensity score. So you know, you add those things together, I think the outlook from a cash flow perspective in the ethanol business is very positive as we head into 2026.
Derrick Whitfield: That's great. A lot of potential tailwinds for you guys. I'll turn it back to the operator.
Eric McAfee: Thank you.
Operator: Your next question is coming from Dave Storms with Stonegate. Please pose your question. Your line is live.
Dave Storms: Good morning, everyone. Just want to start with a quick modeling question. Are there any investment tax credits that you have left to sell in 2025? And just any thoughts on how many tax credits, investment credits you may generate in the remainder of the year?
Eric McAfee: We definitely have a sale actually in process for ITCs. These lag the completion of the project. It's called the in-service date. Because of the various documentation you have to pull together. So there's up to a six-month or more lag between completing the actual project. So we will be bringing projects online in the next couple of months and then another set of projects later on this year. So I expect probably another couple of ITC sales during the course of this year. And then probably even more important to the company's cash is 45Z sales. And if we can get provisional emissions rate, we'd be looking at some of those in the next couple of months. And that will be an ongoing process, which I would expect would be at least quarterly to get our 45Z production tax credits monetized.
Dave Storms: That's perfect. And can you just remind us, once your digesters are approved and achieve that full approval, is there a look back on the carbon intensity for credits that have been generated the last six months here? Like, any look back like that?
Eric McAfee: Andy, you want to talk about them?
Andy Foster: Yeah. One quarter is the look-back period depending on what the date is when we receive the final approval. We've gone back and forth with CARB on a couple of minor RFIs. And we're expecting that approval to happen hopefully this month, the next couple of weeks. And just because from a modeling perspective, I want to make sure you get this clarity. We do expect to be approved this quarter for the first seven dairies. It'll be the first pathway approvals we've ever gotten, which is a little slow. It'll have taken us about two years. But we won't reflect that revenue or cash during the second quarter. Those get generated at the end of the second quarter and will be monetized in the month of July. So we will show that as third-quarter revenues, and by the time we do our conference call for the second quarter, we'll be able to tell everyone exactly how much we've monetized, but it'll show up in third-quarter revenues. So from a process perspective, it will be for the first quarter's production approved in the second quarter, and then very early, like, one week into the third quarter, we will show it as cash on our account.
Dave Storms: Understood. That's very insightful. Thank you for taking my questions.
Eric McAfee: Sure. Thank you, Dave.
Operator: And your next question is coming from Ed Woo with Ascendiant Capital. Please pose your question. Your line is live.
Ed Woo: Yeah. Congratulations on all the progress, and you know, especially on the India IPO where you said it's going to be late this year, early next year. Have you decided what you're going to be doing with the proceeds? Is there any plans for significant expansion into, like I said, RNG or into, you know, sustainable aviation fuel?
Eric McAfee: Our India IPO proceeds will be primarily focused on building out the India business. We're also going to be putting a cash balance that historically we've not run at the company. So historically, we try to pay down our expensive debt, but I would expect we'll end up with a significant cash balance, which will show up on the parent company consolidated balance sheet. And then I would expect a certain amount of the money would be repayment of parent company debt. So when we get repaid from India from the amount we've advanced to India, we would then use it to repay our parent company debt. Since we're talking about debt repayment, we do have not only investment tax credits but also loan refinancings that we're working on. Debt repayment for us is a very high priority. And we expect later on this year to see continued progress not only paying down interest and principal but also refinancing in the lower-cost financing.
Ed Woo: Great. Thanks for answering my questions, and I wish you guys good luck.
Eric McAfee: Thank you, Ed.
Operator: We have reached the end of our question and answer session, and I will now turn the call over to management for their closing remarks.
Eric McAfee: Thank you to Aemetis stockholders, analysts, and others for joining us today. We look forward to talking with you about participating in the growth opportunities at Aemetis. Thank you for attending today's Aemetis earnings conference call. Please visit the Investors section of the Aemetis website where we'll post a written version and an audio version of this Aemetis earnings review and business update. Kelly?
Operator: Thank you, everyone. This does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.